Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SunTrust First Quarter 2019 Earnings Results. As a reminder, today’s conference is being recorded. I would now like to turn the call over to your host, Ankur Vyas. Please go ahead.
Ankur Vyas: Thanks, Linda. Good morning. And welcome to SunTrust first quarter 2019 earnings conference call. Thank you for joining us. In addition to today’s press release, we have also provided a presentation that covers the topics we plan to address during our call. The press release, presentation and detailed financial schedules can be accessed at investors.suntrust.com. With me today among other members of our executive management team are Bill Rogers, our Chairman and Chief Executive Officer; and Allison Dukes, our Chief Financial Officer. Before we get started, I need to remind you that our comments today may include forward-looking statements. These statements are subject to risks and uncertainty and actual results could differ materially. In addition, in connection with the proposed merger with BB&T, BB&T has filed with the SEC a registration statement on Form S-4 to register the shares of BB&T’s capital stock to be issued in connection with the merger, which contains a joint proxy statement and prospectus that will be sent to the shareholders of BB&T and SunTrust seeking their approval of the proposed transaction. Please refer to the cautionary statements on page two of our presentation regarding forward-looking information, including some of the factors that might cause actual results to differ materially. Please also refer to the legend on page three of the presentation that contains additional information about the merger and participants in the solicitation. During the call we will discuss non-GAAP financial measures when talking about the company’s performance. You can find the reconciliation of these measures to GAAP financial measures in our press release or in our presentation and on our website investors.suntrust.com. Finally, SunTrust is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized live and archived webcasts are located on our website. With that, let me turn the call over to Bill.
Bill Rogers: Thanks, Ankur, and good morning. I am going to begin with an overview of the first quarter, which we highlight on slide four and we will then turn it over to Allison for some additional details. I will come back and conclude with some updates on the merger with BB&T and how our integration planning efforts are progressing. Core earnings per share were $1.33 this quarter, which excludes $0.09 per share and merger related costs. Overall, we had a good quarter and our 3% year-over-year growth in earnings, excluding those costs, highlights the growth potential we have on a standalone basis. In addition, our future earnings potential will be amplified when we merged with BB&T. With that said, let me highlight some of the specifics for SunTrust earnings in the first quarter. Loan growth remained strong, evidenced by a 3% sequential growth we delivered, which was generally broad-based across most businesses. Investments we have made in our vice-driven model for corporate commercial and CRE clients, in addition to our ongoing investments in digital consumer lending continued to drive good loan growth and direct auto also had one of its strongest quarters, reflecting the pullback from certain competitors and strong consumer confidence. It’s clear that our clients remained optimistic about the economy and are committed to making ongoing investments, both personally and in their businesses. While loan growth outpaced deposit growth, our net interest margin remained stable this quarter as the benefit of the December rate hike helped to absorb some of the increased funding costs. Non-interest income declined sequentially, driven primarily by seasonal trends in CRE fee income. Capital markets income did rebound somewhat this quarter, driven by trading, but we experienced some softness in equity and M&A consistent with industry trends. While the overall investment banking environment remained somewhat choppy and uneven, our advice driven model, full set of product capabilities and industry expertise and focus on the middle market positions us well for long-term success. Our adjusted tangible efficiency ratio improved by 130 basis points year-over-year, providing us good momentum headed into the merger and realizing our long-term potential with BB&T. And finally, credit quality remains a strength with charge-offs and NPLs both stable relative to the fourth quarter. Importantly, our consistently low credit losses are reflection of our underwriting discipline in addition to an economy that’s on solid footing. All-in-all, this quarter was a good start to the year for SunTrust and I remained optimistic about the investments we have made to drive a sustainable competitive advantage in our differentiated businesses and the strength of our balance sheet. While it does appear that the rate environment will be less of a contributor to our earnings growth going forward, this is largely mitigated by our diversified business model, the ongoing investments we have made and continue to make in growth and technology, and our commitment to continuous improvement and efficiency, each of these factors give me confidence that 2019 will be a good year for SunTrust on a standalone basis and propel us into the next great chapter in our company’s history. Before I turn it over to Allison, I do want to mention that last Friday we filed an 8-K outlining the commitment of our SunTrust aimed to the new company. Allison has made a very personal decision to pursue opportunities in Atlanta during the next phase of her career. We considered all the options together and I am fully supportive of her decision. Her leadership as CFO until closing will be critical and crucial to making this merger a great success. The time will come later to thank Allison and acknowledge that many extraordinary contributions she has made at SunTrust. Importantly, together as a new team, we ask Mike McGuire to serve on the executive management team as Head of National Consumer Finance and Payments for the merged company. Mike’s top talent in SunTrust and has significant experience in the financial, technology and payment space He’s very well positioned to serve in this key role, leading the high growth opportunity for the new company. So, with that, let me turn it over to Allison.
Allison Dukes: Thanks, Bill. I fully believe that this merger is the right transaction for our company and my broad family and personal commitments in Atlanta, I realized that the best decision for me is to remain in Atlanta. This is not an easy decision and I want to thank Bill for his tremendous support, friendship and leadership. In the meantime, we have got a lot of work to do together as we prepare the company for closing an integration. So with that, let’s start with net interest income on slide five. Our net interest income was stable sequentially as the strong loan growth we delivered was offset by two fewer days in the quarter. All else equal, this negatively impacts net interest income by approximately $20 million. Our net interest margin was also stable sequentially as the benefit of the December rate hike was offset by higher wholesale funding to support the loan growth in the quarter. Looking to the second quarter, we expect the net interest margin to decline by 2 basis points to 3 basis points relative to the first quarter, given our expectation that funding costs will continue to increase despite the fact that we do not expect an increase in short-term rates. Moving to slide six, noninterest income decreased by $34 million sequentially, driven primarily by seasonal decline in commercial real estate related income. Investment banking income was down sequentially, as a result of less M&A and syndicated finance activity in the quarter. The government shutdown also negatively impacted our equity capital markets business. This was partially offset by a $36 million increase in trading income. A negative valuation marks on the corporate bond inventory we experienced in the fourth quarter were generally reversed in the first quarter and we also benefited from an increase in client activity levels. Some of the increase in trading income was offset by a loss in our credit default swap hedge portfolio, which is another income, given tightening credit spreads. Mortgage related income also increased sequentially as a result of higher servicing income, primarily driven by better hedge performance and lower decay. Moving to expenses on slide seven, we recognized $45 million of merger related costs in the first quarter, primarily related to third-party advisory and legal fees. Relatively, we have created a new line item in the income statement for these costs. Going forward, we expect additional merger related costs on a standalone basis of approximately $10 million each quarter. Excluding merger costs and the $60 million pension charge in the fourth quarter, adjusted expenses increased by $22 million, as a result of the typical seasonal increase in personnel costs, partially offset by lower contract labor and programming costs, which is generally a function of timing and is therefore somewhat temporary. Other non-interest expense also increased sequentially, driven primarily by higher branch closure-related costs. These increases were partially offset by declines across most other expense categories given seasonal trends and ongoing expense discipline. Our effective tax rate in the first quarter was 15%, which is slightly lower than our normal effective tax rate, given the typical first quarter benefits related to stock-based compensation. At the remainder of the year, we would expect our effective tax rate to be approximately 18% and 20% if you model us on an FTE basis. As you can see on slide eight, the adjusted tangible efficiency ratio was 60.8% for the quarter, which represents 130 basis points of year-over-year improvement. On a standalone basis, we remained on track to achieve our previously disclosed medium-term target of 56% to 58%. We are focused on rationalizing expenses via four primary areas, staffing, leveraging technology, third parties, and real estate, all while investing in revenue growth opportunities and client-friendly technology. Our continued progress in each of these areas gives us good momentum headed into our merger with BB&T. More importantly, given the synergies we will achieve by merging with BB&T, we will have significantly greater capacity to invest in innovation, technology, and talent. This is one of the key benefits of this transaction, not just that we have the opportunity to achieve best-in-class efficiency, which is of course a great outcome for our shareholders, but more so to have incremental capacity for investment. Moving now to slide nine, our net charge-off ratio was 26 basis points in the first quarter, consistent with the prior quarter and with our guidance. The low level of net charge-off reflects relative strength we are seeing across all of our portfolios. Performance we are extremely pleased with, though we remained cognizant that there could be some variability and normalization going forward. Our non-performing loan ratio 34 basis points, which is down slightly relative to the prior quarter also remained well below historical averages. The ALLL ratio was stable sequentially, which drove a $66 million increase in provision expense as prior quarters had declines in the ALLL ratio. Strong loan growth also contributed to our provision expense this quarter. Looking into the remainder of 2019, we would expect our net charge-off ratio to be between 25 basis points and 30 basis points. We do expect the ALLL ratio to remain relatively stable from here, which would result in a provision expense that exceeded net charge-offs given loan growth. Moving to the balance sheet on slide 10, we continue to deliver good loan growth, evidenced by the 3% sequential growth in average balances. Importantly, the growth was diversified across most portfolios, including C&I, CRE, indirect auto, consumer direct and mortgage. Wholesale growth was broad based across each of our lines of business. Within CIB, loan growth was driven by higher revolver utilization, CapEx and M&A activity and growth in our asset finance business. Commercial banking growth was broad based with strength across most client segments, including auto dealer, aging services, our expansion markets and core commercial clients. CRE growth continued as a result of investments we have made in permanent lending and bridge lending capabilities, which is being partially offset by run-off in the construction portfolio. Within consumer, the ongoing investments we have made in our digital and point of sale lending capabilities, which provide for a superior client experience are also driving good growth, and enhancing our returns. Our auto and mortgage portfolios also demonstrated healthy growth in the quarter. Across both Wholesale and Consumer, our underwriting discipline has not changed and we remain highly focused on ensuring that the quality of our new production is consistent with the quality of our existing portfolio. Separately, we sold $465 million accruing residential TDR portfolio in the middle of April, which was reflected in loans held for sale on March 31st. This resulted in a transfer of $31 million of the associated allowance to a reduction of carrying value and loans held for sale. This transaction had no impact on the provision for loan losses in the first quarter. The sale will result in a modest gain in the second quarter, which we plan to use to reposition a portion of the securities portfolio and net P&L impact will be relatively immaterial to our earnings going forward. On the deposit side, average balances decreased sequentially, driven by seasonal declines in public funds, which benefited fourth quarter balances. Consistent with prior quarters, we continue to see a migration from the lower cost deposits to CDs, largely due to higher rates and our targeted strategies, which allow us to retain our existing depositors and capture new market share. Interest-bearing deposit costs increased by 9 basis points sequentially, slightly lower than the prior two quarter increases of 10 basis points and 11 basis points, respectively. Given the expectation of fairly stable short-term rates, we expect deposit cost to continue to still trend upwards, but not as much as previous quarters. The trajectory will also be influenced by the competitive environment, in addition to the levels of loan growth we are delivering. At the same time, we remain focused on investing in products and capabilities, which enhance the client experience outside of rate base. Moving to slide 11, which provides an update on our capital position, our estimated Basel III common equity Tier 1 ratio was 9.1%, and the Tier 1 ratio was 10.2%, slightly lower relative to the previous quarter, given strong loan growth, partially offset by solid growth in retained earnings. Going forward, we would expect capital ratios to trend upward, given the suspension of share repurchases in anticipation of our merger with BB&T. This will result in a share count that is relatively stable until the proposed merger with BB&T closes. Relatively, we will not be pursuing the preferred issuance, which was included in our original 2018 capital plan. Moving to the segment overviews, we will begin with the Consumer segment on slide 12. The positive lending momentum we had in Consumer continued in the first quarter. The investments we have made in light stream and our point-of-sale lending partnerships continued to be consistent contributors to our loan growth. Over the past year, we focused on enhancing our analytics, improving automation, adding product offerings and growing our partnerships and referrals, all of which are key contributors to the 38% year-over-year growth we delivered in LightStream. Separately, we experienced good growth in indirect auto this quarter, where we were able to capture additional market share given competitor exits, with improving returns. Consistent with prior quarters, some of this collective growth has been offset by the continued declines in home equity. On the deposit side, we continued to benefit from our targeted CD offers and have refined our broader deposit product offerings to maximize the value proposition for our clients. We have had good success here, evidenced by the 3% year-over-year growth in deposits, which provides attractive funding for our loan growth. Our strong balance sheet growth combined with margin expansion drove an 8% increase in net interest income relative to the prior year. Consumer fee income was pressured in the first quarter as a result of seasonality and changing consumer behaviors, which continues to drive the decline in service charges. Wealth management income was also negatively impacted by market conditions in the fourth quarter, which negatively impacted AUMs. Compared to the prior year, non-interest income was relatively stable as mortgage related income has begun to stabilize. In addition to the solid revenue growth in Consumer, the actions we have taken to improve efficiency are driving improvements in overall profitability. Our efficiency ratio in Consumer improved by 230 basis points year-over-year, relatively, our branch count is down by 7% in the past year, which is largely enabled by our increasing digital adoption rates, and as a part of our broader strategy to leverage technology to enhance our efficiency, while also improving the client experience. In the first quarter, we improved client’s ability to service their mortgage via our mobile app. We made it easier for clients to open new accounts and products digitally and we continue to migrate components of our digital experience to the cloud, resulting in reduced operational costs and added reliability. Our success here is also reflected in the national recognition we are receiving for these digital capabilities. LightStream recently received two recognitions for best personal loan for good credit and another for best personal loans for home improvement. Our adoption rate for SmartGUIDE, our digital mortgage application is now at 82%, which exceeds expectations considering we have launched this capability only a year ago. Broadly speaking, our Consumer segment continued to improve its overall earnings power, evidenced by the 5% growth in revenues, which when combined with a moderate 2% growth in expenses drove a strong 13% growth in pre-provision net revenue. Looking ahead, we expect further progress from Consumer as we become more efficient, continue to invest in our digital offerings and provide for a more integrated experience for our clients across all consumer products and solutions. We are also excited about the opportunities that we will have to make incremental investments in technology and innovation, given the strong synergies our Consumer segment has with BB&T’s retail community bank. Moving to Wholesale on slide 13, where our consistent strategy continues to drive good results. On the lending side, we saw a solid loan growth across CIB, Commercial and CRE. More broadly, the growth in our Wholesale lending portfolio is a reflection of our clients’ increased optimism on the economy, which has resulted in higher utilization rates and strong production level. This growth also reflects the investments we have made to meet a broader set of client needs, particularly within CRE and aging services, in addition to our advice driven model. Importantly, this loan growth did not come at the expense of risk or return discipline. Our model is focused on leading with advice not structure or price. This is also reflected in our low net charge-off ratio, which were 10 basis points in the first quarter. As mentioned previously, CRE fee income was down sequentially due to seasonal trends. We also saw a decline in investment banking income, consistent with industry trends. Market conditions can and do drive some quarterly variability in this business, which was certainly true this quarter in syndicated finance, M&A and equity. Some of this was offset by trading income or negative marks on our corporate bond inventory in the fourth quarter were generally reversed in the first quarter. While sequential revenue trends in this specific quarter weren’t favorable, we delivered strong 7% year-over-year revenue growth with broad-based growth across most products and client segments. More importantly, it’s clear that we have a competitive advantage within this business. We went because of our focus on the middle market, the quality of our people, the advice they deliver and the way we work together. We feel very good about the consistent growth that our advice driven model has delivered and our ability to deliver future growth as we continue to capture incremental market share. Similar to Consumer, across Wholesale we remain focused on investing in technology with the goal of equipping our teammates with the tools they need to maximize their effectiveness and provide clients with an improved experience, especially within treasury and payments. We are now leveraging nCino, our own origination platform for onboarding treasury and payments product, making it easier for teammates to onboard new clients whether for loan or deposit products. We have also moved our nCino platform onto new soft platform, which will significantly improve our ability to add future capabilities via APIs. And finally, we are piloting SunView client portal, which will consolidate several separate treasury management platforms into one. Bigger picture, our Wholesale business delivered 7% growth in revenue, which when combined with 3% growth in expenses drove strong 11% growth in pre-provision net revenue, results, we are very pleased with. Looking ahead, we remained optimistic about the growth opportunities we have in Wholesale, as we bring our advice driven model to clients in new and existing markets. We continue to focus on meeting more client needs, providing superior execution for our clients in varying market conditions, elevating our relationship and making investments, which position us for future success as we work to anticipate and exceed client expectations. We are also excited about the opportunity we will have to deliver our full suite of capital market solutions to an expanded client base as we merged with BB&T. And with that, I will turn the call back to Bill.
Bill Rogers: Great. Thanks, Allison. Now, overall, we had a good quarter and it was further validation of the success we continue to have in investing in growth opportunities, diversifying our business mix and loan portfolio, and improving our efficiency. While, overall, fee income trends were mixed, we feel good about the underlying momentum all across the company. Provision expense did serve somewhat of a headwind to our bottom line results this quarter, but it’s not a reflection of the overall asset quality trends. The increase is more of a reflection of the reserve releases we benefited from in prior quarters in addition of the strong loan growth we delivered this quarter. The overall momentum we have continues to validate my view that SunTrust on a standalone basis is approaching the proposed merger with BB&T from a position of strength. Individually, we are two very strong companies together we are creating well premier financial institution. With that, let me provide a little bit of progress and update on the merger on slide 14. The executive management team that we announced back in February has been meeting on a weekly basis. So we are really making good progress on key decisions about organization design, about talent, our new culture and overall integration planning among a variety of other topics. We formally kicked off our integration planning process a few weeks ago and have identified integration leads across the businesses and functions with support from some third-party consultants. Our teams are really working well together. They have identified key work streams with a defined set of milestones, all of which we must deliver by legal day one. As you would anticipate, risk oversight underpins the entire integration process, so we have significant controls in place to ensure the process is appropriately governed. Our teams worked effectively and efficiently to follow the merger application in the S-4 registration statement back at the beginning of the March, which is on track with our targeted timing. With regard to our new brand, we are using this as a culture building process for our teammates and associates. We just finished a brand attribute bracket-based process and both of our respective organizations identified the same four core and as an aspirational brand attributes we desire for our new company. In my mind, this reinforced our premise of this merger equals and its one more example of how we are coming together as one company. We have also engaged inner brand, which is a leading brand agency to help to guide us. We are targeting to have a new name and brand by the end of the second quarter. Key leaders from SunTrust and BB&T have held listening sessions with community groups across our market, which was incredibly helpful and insightful. We are both firmly committed to responding to our community needs and continuing our strong locally focused investments. We are working very hard to lay the groundwork for a new company culture. We both have strong cultures with high levels of teammate and associate engagement and we are both purpose and mission-driven companies. Together we are going to create a new culture that takes the best of both and we will do this together as a team with involvement from all of our teammates and our associates. We completed our first executive team building exercise at the BB&T Leadership Institute last week and obviously planned to have more of those sessions over the next coming months. The CCAR teams across both companies are working very hard and very well together to conduct joint stress tests and submit a joint capital plan to the Federal Reserve in May. Lastly, we are working on determining the next level of leadership for the combined company, with an objective of making those announcements in the second quarter. Our objective is to promote the best of both companies, ensure diversity and equal representation from both sides. Overall, I think, Kelly and I are incredibly pleased with the progress we have made in such a short period of time. More importantly, the more time we spend together as a new management team and the more our teams work together, we are increasingly confident in the opportunities we have ahead of us and our ability to achieve the targeted cost saves and realize our full potential. The work we have ahead of us continues at a brisk, but controlled pace and I am highly confident that our teams will help us realize our vision of creating the premier financial institution. So, with that, let me turn it back over to Ankur.
Ankur Vyas: Thanks, Bill. Linda, we are now ready to begin the Q&A portion of the call. As we do so, I’d like to ask participants to please limit yourself to one primary question and one follow-up, so that we can accommodate as many of you as possible today.
Operator: Perfect. [Operator Instructions] And we will begin with the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: Hi. Good morning.
Bill Rogers: Good morning, Betsy.
Betsy Graseck: I had a question on C&I loan growth and also on nCino, but just to kick off with the loan growth question. I noticed in the presentation, you mentioned it was broad based, but maybe give us a sense of how much of the loan growth that you saw this quarter, you think is sustainable, how much of it is due to not getting pay downs, we have heard from others that pay downs have slowed a bit. And so what I am really trying to understand is, do you feel this is a pickup in demand from your client or is it a reduction of competition and the legs on both those trends? Thanks.
Bill Rogers: Yeah. Sure. I think, first of all, it is very broad based, and I think, as you indicated in your question, it’s across a variety of the specialties, it’s across CRE and its cross sort of core commercial. We have seen it in the areas we have invested like aging services and we have seen it in -- on the incremental side and expansion markets where we have made investment. So, first of all, it’s broad based. The second piece is, revolver utilization was up this quarter and if we really look over sort of multi-quarters, we hit sort of a high inflection point on revolvers utilization. So this is also by clients drawing online to make investments, whether it’s M&A, whether it’s repayment or whether it’s investment in capital or technology, but clear revolver utilization. As, it relates to paydowns, paydowns were down this quarter, production was pretty stable to where it’s been. So, I think, is 8% year-over-year, which where we are right now, I mean, that’s clearly high. But our core client base, the investments we have made, the places that we are, the advice driven model, I think, we will continue to be at a good pace. Although, as you noted, I do think paydowns will pick up over the year, that will be some combination of rate, refinance and market influences.
Betsy Graseck: [Inaudible]
Bill Rogers: Yeah. You cut out. Linda, Betsy in line or?
Operator: Yeah. Let’s go to the next line. And Betsy, you will just need to queue back up for a question. Next we will go to the line of John McDonald with Autonomous Research. Please go ahead.
John McDonald: Okay. Thanks. Lines cutting out a little bit here, but can you guys hear me?
Bill Rogers: Yeah.
Allison Dukes: We can.
John McDonald: Okay. Great. So maybe just a question for Allison, could you give us some of the puts and takes to your estimate of the net interest margin to be down 2 basis points to 3 basis points next quarter, is that a question of the loan growth outstripping deposit growth and what are the factors there?
Allison Dukes: Sure. It’s a couple of different factors. First, I do expect deposit costs will continue to creep up a little bit. As I noted, I also believe it will be at a slower pace than what we have already seen. You have seen our deposit cost growth come down over the last three quarters from 11 basis points to 10 basis points to 9 basis points, so we expect it will continue to creep up, albeit at a little more slowly. I also expect that loan growth is going to continue to modestly exceed deposit growth and so that’s obviously a positive for NII. But that does create some wholesale funding costs that factor into the NIM guidance. There’s day count in there as well and then all of that, and modestly offset by re-pricing of our securities portfolio and fixed rate loans. So take all that together and we expect something around the range of 2 basis points to 3 basis points of the decline.
John McDonald: Okay. Great. And then as a follow-up, I wanted to ask Bill about incremental learnings about the MOE. Bill you have talked a lot of people and got feedback since the announcement, and you mentioned, you and Kelly feel very good overall. But I was wondering maybe you could give us one positive and one challenge that you have discovered. One aspect of the deal you feel better about since announcement and then one aspect that you learned might be more challenging or take longer than you initially thought? Thank you.
Bill Rogers: Fair question, John. So if I sort of start at maybe the core of the positive, the integrity, transparency and teamwork that we have had as a team has been off the charts. I don’t want to say I am surprised, but that has really been a great start to the conversations that we have had, the selections we have made. As I said, we have done that with a lot of teamwork. And this is a group that didn’t know each other. While Kelly and I have known each other for a long time, we are bringing together a bunch of people that didn’t know each other and haven’t worked together and the way that they are doing that with speed and focus on the outcome has really been fun to be a part of. And I think, that has mostly to do with how brought in they are and how cognizant they are of where they are in history and the opportunity that they have in front of them to create this incredible organization, incredible opportunity. So I would say that’s probably bit core top positive. As we peel back the onion and look at both cost synergies, I think, as we continue to go through that I think, our optimism improves and we start to look at where those are and how we will achieve them, and so I think, we continue to build confidence on that front. Similarly the opportunity on the revenue side, as we look at our businesses and we have talked about of being highly complementary and that’s really jumped out as they really are complementary, meaning their products and capabilities that BB&T has that we don’t have and products capabilities that we have that they don’t have, and we continue to find most of those. I know, I went to more than one, but I am excited on that front. If you say that you know, what’s on the challenge side? I think, just the enormity of the task, it’s big. I mean, this is big and while that I have every confidence that we have got the right team in place, you do wake up and think, these are lots of actions and lots of activities that our teams have to accomplish.
John McDonald: All right. Thank you.
Operator: All right. And next, let’s try Betsy’s line again. Betsy?
Betsy Graseck: Hi. Can you hear me?
Bill Rogers: Yeah. Sorry, Betsy.
Allison Dukes: Yeah.
Betsy Graseck: Hi. No problem. Hey, so my follow-up was on nCino, which I believe is a key tool for you on the commercial side. And if I recall correctly, I don’t think BB&T had yet put that in place, so there could be some interesting opportunities there, is that goes into the combined organization? But I just wanted to understand from you the benefits that it brings to your Commercial Banking space and was there more for you to do to benefit from nCino at this stage? I thought it was fully integrated, but then in the prepared remarks, I thought I heard something around how there was more opportunity and benefit coming from the nCino?
Bill Rogers: Maybe I will take a first crack and then Allison, you can add some of the specific benefits like that we have seen in the commercial side. Yeah, I mean, I think, nCino is part of -- if you think about it as a platform, as -- maybe it is sort of the easiest way to think about it, so getting the platform in place is stage one and we have made tremendous progress and acknowledge the implementation of the platform. Now, it’s the flexibility of that platform in adding different capabilities and different speeds and different ways that we can utilize and we work really closely with nCino. I mean, we have got a great partnership. As you know, we were early in this process, so we are -- I think we are building together and thinking about all the things that we can do from a client perspective. BB&T has also made a lot of progress in platforms as well. So these will be the kind of things that we will look through and take the best of breed approach for different client segments and different flexibilities. And back to the earlier comment on the question from John, that’s just part of the exciting part of the process, is actually getting best of breed kind of choices that we get to make along the way. And Allison you might want to embellish on that?
Allison Dukes: The only thing I will add is, that it is a cloud-based platform and that’s given us a tremendous amount of flexibility and one of the things I noted as we have moved it to a new soft platform that also gives us the capability to add future APIs. And we are looking at, we have expanded I should say, our usage of nCino to incorporate our treasury platform, so it’s not just a loan origination platform for us any further. So it’s about flexibility really for our teammates and efficiency there and speed of responsiveness to clients.
Betsy Graseck: Okay. So your treasury platform is your cash management offering to your clients, that’s what you are talking about, not your internal treasury?
Allison Dukes: Yeah. Yes, not our corporate treasury platform.
Betsy Graseck: Got it. Okay. Very interesting. And then my other question is just on the brand change, I realized that in later in 2Q, you will be coming to market with the new brand. I am just wondering how are you thinking about rolling that out to the market and I know that -- I am not asking for a specific you know, its early days on this, but I am just trying to understand how you are thinking about in informing the market of the new brand in a way that is the least disruptive and the most opportunity for you?
Bill Rogers: Yeah. I mean, you are right, this is one of those areas that we have had a lot of intensity and good dialog around. As the brand specifically and rollout, we have shareholder approvals coming up, so they have to approve a new brand. So that’s sort of the first stages of the naming of the entity. We will also be operating sort of our core -- if they buy core retail business that’s full lack of a better description under the SunTrust and BB&T brands and we will be doing that for let’s call it 18 months to 24 months as those roll out. Then you have asked really the right question is, then how do you roll out the umbrella brand and whose first on the sequence in terms of how you roll out that brand and how do you make sure that you are promoting that at the right pace and with the right intensity and that’s the sleeves rolled up work we are doing right now. Actually back to the [inaudible] this is one of the exciting really new opportunities for our company. As I highlighted before, we have asked our teammates and associates to be part of this and build this as a culture moment. So this is a lot more than a name that we are going to put out somewhere on the building. This is really about being exemplified what we are going to stand for as a company.
Betsy Graseck: Got it. Okay. Thank you.
Bill Rogers: Yeah.
Operator: Next we will go to the line of Erika Najarian with Bank of America. Please go ahead.
Erika Najarian: Hi. Good morning.
Bill Rogers: Good morning, Erika.
Erika Najarian: Just a two part question on preparations for the MOE, Bill, one is, what is the sentiment of the employees like and what are you and your team doing to minimize distraction going into the merger close? And the second part of that question is, as I think about some of the investment spend that you -- investment spend that you have completed like in nCino, and further projects that you may have, how are you determining what to continue to go through in terms of investment spend versus what you may suspend prior to the deal closing?
Bill Rogers: Yeah. Okay. Good questions. The -- first of all, as it relates to our teammates and associates and I can speak specifically on the SunTrust side, but obviously on the BB&T side with associates we have. The first thing is, we are communicating a lot and we are having town halls, we have videos, we have teleconferences, we have things that we are sitting at post on our website. So we are communicating a lot of our status of where we are, because the thing that makes people most uncomfortable as that when things are unsettled. And we want to make sure that they know where things are, they know the progress, they know when we are going to make announcements, and we can be on that front. The second is, I mean, I get up every day, I think, Kelly, does the same way. I mean, I get up every day to re-recruit everybody works here. I mean, that’s sort of my philosophy and how I think about the world. And the opportunity to recruit, not just to SunTrust, but to recruit to NewCo is really exciting. I mean, I think, about the opportunity to talk to our teammates about joining this new company that shares their values, that cares about them that they know in the capacity to invest and things that are important to them, things that are important to their clients, the new capabilities, new training, and even more so their career opportunities. So their own personal career opportunities are going to expand exponentially. I mean, the markets that we are in that we never in before, there are things that we do that we didn’t do before. So we are taking the philosophy that we are recruiting to NewCo and I like the job. I mean, I think, I like doing that. I think, that’s an incredible opportunity. As to how to determine, as I said before, I mean, this is a best of breed optionality. So we have got integration teams that represent both sides equally. I mean, we -- so at every intersection point as it relates to whatever it may be, platform, application. We have people sitting at the table and their mission is to not choose one of the others to choose the best and if that doesn’t exist, we may choose something that’s an alternative to what we each have. So this is a -- this isn’t -- this is a -- and I think, our teammates recognize that this is a once-in a generational opportunity to really choose the best alternatives that are strong for clients and strong for communities and make our companies more efficient. So we -- I think, Kelly and I have been very clear that it’s a best of breed process and the winner is going to be the client, the teammate and the shareholder.
Erika Najarian: Got it. And just a follow-up question for Allison, I noticed that other short-term borrowings on an average basis were up almost $5 billion. And as I thought about your earlier comments on loan growth outstripping deposit growth. Is it fair to assume that perhaps before the merger close, you will just -- you are filling the gap with short-term borrowings rather than increase your deposit rates that significantly, because this seems like something that once the balance sheets are put together could be optimized?
Allison Dukes: Well, okay, thinking about deposit growth, that’s really client relationships and we are not going to change our focus on building client relationships and augmenting our existing deposit base and growing relationships overall. So I would say our focus on growing deposits and the momentum we have there, we will be sustaining that into closing. As we bring our balance sheets together, we actually have an outstanding funding base between SunTrust and BB&T in terms of both our deposit base, our client base and our access to wholesale funding. So I don’t think -- I don’t anticipate that we would have any shift in how we actually fund the balance sheet, we are really focused on growing client business.
Erika Najarian: Got it. Thank you.
Operator: All right. And next we will go to the line of Matt O’Connor with Deutsche Bank. Please go ahead.
Matt O’Connor: Good morning. Deposit re-pricing question, is there a pricing still happening within the same product, so money market re-pricing up, checking re-pricing up as you look forward, or is it more about continued mix shift into higher rate products and does it vary by market in terms of just re-pricing overall?
Allison Dukes: It really -- I would say from a product standpoint, our strategy is still consistent with where it has been for the last year or so. We are still going to really focused on using CDs as a targeted strategy does continue to re-price of course over time as well. But we are not looking at a change in our product mix, even as we anticipate the Fed being on pause over the course of the year. From a geographic standpoint, we are always in any rate cycle evaluating the differences from a geographic standpoint. The competition is different in every market and we really think about pricing differently in every market and that sensitivity is there in any rate cycle.
Bill Rogers: That’s right. Matt, the other thing is, we are -- it’s not a pure defense in play either, so we are using CD pricing in offering, there’s an offensive play in the client acquisition vehicle as well.
Allison Dukes: Yeah. Our CD strategy has yielded, I think, about 40% of our CD growth is new money, so it’s a targeted acquisition strategy as well.
Matt O’Connor: And Bill, a separate topic here, but just as you think about the combined, the capital or the capital of the combined company, Charlie said earlier today, the Board has decided to hold 10% CET1, at least initially. I know, you have obviously optimized capital at SunTrust down to 9.1% and I know you have been asked before, but it would seem like over time there will be opportunity to bring down that 10% and I don’t know if you have more confidence as the integration was completed successfully, but just thoughts on there is a little bit of a bid ask in terms of where you want capital, or they want capital in the combined company, you would think wouldn’t need to have as much excess maybe as BB&T standalone.
Bill Rogers: Yeah. Well, first and foremost, let me say, we are aligned. So we are aligned on 10% capital as a really good starting point for our company. I think, as you noted, I mean, that can change over time. But, I think, as we -- particularly as we enter into this merger and we look at all the integration and the things that we have got to do over the course of the next two years, the last thing we want to have as the discussion is about capital. We want to make sure that if it’s conservative, fine, that’s a good label, but we want to have a capital base that can withstand any changes anticipated or unanticipated, and then will be a factor of wherever the economic environment is when we get through that process. So we are aligned on this. I think, this is a good strategy. I don’t think it’s contrary to optimizing capital. I think it’s consistent with optimizing capital against the situation that you are in right now, which is a big merger.
Matt O’Connor: Okay. Thank you.
Operator: All right. And our last question comes from the line of Christopher Marinac with FIG Partners. Please go ahead.
Christopher Marinac: Thanks. Good morning.
Bill Rogers: Hi, Chris.
Christopher Marinac: Bill, there are a lot of banks you talk about the opportunities that they feel from the combination of SunTrust and BB&T. I am curious to what extent you feel that you need to play defense as you integrate the merger or is it more the opposite that you just continue to forge ahead on the offense as you have been?
Bill Rogers: As I said before, I mean, we are on offense. We are recruiting to NewCo. I mean, we are recruiting to the premier financial institution in the country in terms of new capabilities and new geography, and new markets, and I mean I -- I have never had so many tools to recruit. So to us, it’s about not only recruiting our existing teammates and associates, but the calls are coming the other way, trust me, people want to join our organization and we are seeing that. So, I think, this is the merger end, but I love the tools that we have to recruit well.
Christopher Marinac: That’s great. Thanks very much, guys.
Ankur Vyas: Linda, I think, it looks like we had one more joined the queue.
Operator: Yeah. We will go to the line of Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Hey. Thanks guys. Thanks for squeezing me in. Just two quick things, first of all, connected to the pre-merger planning, you are having really good loan growth and I am just wondering that just -- does anything change with regards to the types of lending or the types of risk or the types of mix in over the next few quarters that you look at putting on in contemplation of the pro forma and the post merger company, sorry?
Bill Rogers: Yeah. I mean, a short answer to that’s no. We are building a business that’s consistent with our risk profile and our risk profile is consistent with the combined risk profile. So I would fully expect us to be on the same pace and it reflects the diversity of our business mix and other things I think, make us a great merger partner.
Ken Usdin: Okay. And second one, I was just wondering if you could flush out, even with the slowdown in the government, the IB still did pretty decent. Just wondering if you can flush out a little bit more about the pipeline that did things get pushed and just your general thoughts as you look out word for the investment banking business?
Bill Rogers: Yeah. The pipeline looks good, and particularly in M&A it looks good, which I think, I sort of look for, I mean, you have a lot of market fluctuations in investment banking based on a bunch of conditions. But the core sort of advice business, which M&A is I think, reflects is strong from a pipeline perspective and I think, that’s consistent with the investments we have made have been in the advice driven forefront of our relationships all across the spectrum, from our Commercial business, our non-CIB business, and Investment Banking has grown about 50% on that pipeline looks particularly strong. So I feel good about where we are in terms of pipelines, plus leads are growing. They have been growing at 15% to 20%. So our relevance with clients and not only we are having more at-bat, the power of those at-bats are increasing. But yet they still only reflect a small part of our total portfolio. So I have any reason to be -- continued to be very optimistic and our opportunities in investment banking.
Ken Usdin: Thanks for the color, Bill.
Bill Rogers: Yeah.
Operator: All right. And next we will go to the line of Mike Mayo with Wells Fargo Securities. Please go ahead.
Bill Rogers: Hi, Mike.
Mike Mayo: Hey, Bill. My short question is, how do you deal with the differences in the cultures? That’s the same question I asked to Kelly King and the longer version of that is. I mean, this, two out of three mergers don’t pan out well, two out of three bank mergers don’t pan out well, so we have to be convinced that this is one of the three that actually work well, and what are the reasons -- piece to be related to cultural risk and the road is littered with examples, whether it’s Citigroup, Bank of America, the old Bank One for Chicago. So after several decades of seeing these mergers, you weren’t as acquisitive as some of your peers and now you are doing one. So specifically as it relates to cultural risk, three parts. Number one, as SunTrust seems a little bit more large corporate, capital markets oriented, you might say more urban than BB&T. Number two, there is likely to be some inevitable employee concerns. And then number three, there is likely to be some inevitable CEO disagreements. So have you discussed and how do you plan deal with those likely disagreements like in other words what kind of pre-marriage counseling have you had if you are getting married and you wanted some advice so? Thank you.
Bill Rogers: Okay. You threw me off with the last part of your question, but I got it. And look Kelly and I are both conscious that the culture is imperative to making this work and it’s really been a strong part of our -- both of our companies. So I am going to sort of put in some parts. If you look at sort of the core foundation, you sort of look for things that are deeply in the ground, we have a lot of incredible similarities. I mean, we are purpose and mission companies. We get up thinking about the big why. Kelly and I both lead in that same fashion. So I think, our teams and our companies are sort of the strong foundation of the house, that’s really, really solid and I think it’s a very, very, very much aligned. As you sort of go up the chain on the cultural differences. I mean, sure, there will be some differences, but we are going to celebrate those. I mean, I view those as opportunities. I view those as opportunities to come together under a new culture, pick the best of both, do it together, do it as a team. As I mentioned earlier, all the teamwork stuff has been really, really working well and got started off to a great start. So we will do that together. The final results will be more inclusive. It will be have grave engagement at the outset and throughout and I think I personally and I think our teams are going to be really excited about that. I don’t expect sort of urban and rural definition. So if that’s your implication, I don’t even accept that as of premise. I think we are great bankers and BB&T are great bankers and we are going to work together well. Our teammates and associates, I think, on balance are really excited about where this is going. I said before, we are doing a lot of communication. We are doing a lot of re-recruiting, spending a lot of time in front of teammates and I think they are excited about this venture and the opportunities that they have in it. As it relates to CEO disagreement, so me and Kelly are can’t agree on everything. I think that’s fine, that’s good. That’s what makes a vibrant outcome. But I am 100% sure we are going to start everything from the right framework. We are going to start it from why. We are going to started from purpose and we are going to standard for mission and as long as we start there, I am confident that the outcomes will be really, really strong and great for shareholders and teammates and associates and communities, and clients.
Mike Mayo: And just one quick follow-up, so when you define a new culture, what does that mean when you take best of breed, could you be a little more specific, give a couple of examples, like what do you want to take from SunTrust, what do you take from BB&T, can you just put a little bit more meat on the bones of this idea of a new culture? Thanks.
Bill Rogers: Yeah. I think we are working on those things. If you define cultures, carrying about people and putting clients first and being community diverse business models, lower risk, less volatile profiles, one team focus. I mean, those are all things that we have in common. The choices are more around how you activate and how do you pick the best of what teams do. We are looking to put a pension plan in SunTrust that BB&T has, that’s a great cultural aspect that our teammates are going to benefit from. We are going to put our momentum on up, teammate focused financial bonus program into the BB&T system. That’s a great way for both of them to benefit and it’s an example of you choose from both, but your foundation is we care. We care about you. We care about your wife’s ambitions and we want you to stay and be part of this company. So those are just some examples. Mike of how we are going to go back and choose positives more in terms of how we activate against really strong cultures.
Mike Mayo: Thank you.
Bill Rogers: Thank you.
Ankur Vyas: Okay. Thanks everyone. Linda, this concludes our call. Thanks to everyone for joining us today. If you have any further questions, please feel free to contact the IR department.
Operator: Ladies and gentlemen, that does concludes your conference for today. Thank you for your participation. You may now disconnect.